Operator: Greetings, and welcome to Plug Power's Third Quarter Earnings Call. [Operator Instructions] It is now my pleasure to introduce Ms. Teal Vivacqua, Director of Marketing and Communications for Plug Power. Thank you. You may begin.
Teal Vivacqua: Good morning, and welcome to the Plug Power 2014 Third Quarter Earnings Conference Call. This call will be -- will include forward-looking statements, including, but not limited to, statements regarding our expectations for future business and financial performance, bookings, product shipments, revenue, margin, EBITDA, geographic and market expansion and inorganic growth. We intend these forward-looking statements to be covered by the safe harbor provisions for forward-looking statements contained in Section 27A of the Securities Act of 1933 and Section 21E of the Securities Exchange Act of 1934. We believe that it is important to communicate our future expectations to our investors. However, investors are cautioned not to unduly rely on forward-looking statements because they involve risks and uncertainties, and actual results may differ materially from those discussed as a result of various factors, including, but not limited to, the risks and uncertainties discussed under Item 1A, Risk Factors, and annual -- in our annual report on Form 10-K for the fiscal year ending December 31, 2013, as well as other reports we file from time to time with the SEC. These forward-looking statements speak only as of the day on which the statements are made, and we do not undertake or intend to update any forward-looking statements after this call. At this point, I'd like to turn the call over to Plug Power's CEO, Andy Marsh.
Andrew J. Marsh: Thank you, Teal, and good morning, everyone. Today, I'm speaking from Sterling, Illinois, where we recently deployed our most recent site with Walmart in their distribution center. We are pleased with our progress in the third quarter. The company achieved a record in product shipments and had another solid booking quarter. Business also made progress in both its near- and long-term hydrogen strategy. Although our gross margins were slightly lower than expected, we believe this is just a timing issue and expect the margins to improve in upcoming quarters. Many of the new orders placed during the third quarter came from existing customers. This is always good news because additional contracts from satisfied customers means we are successfully providing products and services that are viewed as trusted, beneficial and economical. I have a of lot of territory to cover this morning. So let's get started. On Monday, we announced Paul Middleton as our new Chief Financial Officer. I'm really pleased to have Paul on board, and I'm confident that he will bring strong financial leadership to Plug Power. Paul is a great fit to the Plug Power team because of his extensive background in providing the financial engineering that helped accelerate growth and profitability in the organizations he has previously worked with. He has a broad range of financial experience in technology and manufacturing, both domestically and internationally. Paul comes to us following a successful 12-year tenure at Rogers Corporation, a $600-million global manufacturer of specialty polymer composite materials and components based in Rogers, Connecticut. There, he served in various roles as Principal Accounting Officer, Treasurer and Interim Chief Financial Officer. I warmly welcome Paul as a great addition to our management team. I fully anticipate that he will bring Plug Power to a new level of financial management and financial discipline and will be a key contributor as the company enters a new period of expansion and profitability. During the third quarter 2014, Plug Power delivered products and services to a number of clients, closing out the quarter with a shift in its 857 GenDrive units to North American material handling customers. We were able to recognize 835 units in our revenue for the quarter. The remainder will be recognized in the fourth quarter. Included in this group of customers were several automotive manufacturers, like VW, Mercedes-Benz and BMW who use our GenDrive fuel cells in the lift trucks that support their vehicle assembly operations. These vehicle manufacturers appreciate the fact that hydrogen fuel cells are clean, provide a safe work environment and have a highly predictable and constant performance. This trust and the dependability of their GenDrive power lift trucks for delivering heavy containers of crucial auto parts to vehicle assembly lines. For the fourth quarter of 2014, we anticipate shipment of 900 to 1,000 GenDrive units and full year revenue between $70 million to $75 million. Our initial projections for the ReliOn business and program delays have resulted in a slight reduction in our revenue projections. Supply chain diversification remains important to Plug Power's insurance that our customer demands will always be met with quality products. Most recently, Plug Power signed a nonexclusive agreement with Ballard Power Systems for fuel cell stacks for use in our GenDrive systems. The agreement provides favorable pricing to Plug Power, with the ability for us to achieve additional reductions in the future. Through this new agreement in place until the end of 2017, Plug Power secured a stack supplier as we fulfill customer orders and close additional significant sales opportunities. Our relationship with Ballard dates back to 2008, and they will continue to be a key partner for Plug Power. I'd like to complement Ballard's CEO, Randy MacEwen, as we jointly develop plans for the future. Both parties are committed to enhancing the relationship, and we have already seen Ballard provide additional resources that support and improve cost and reliability road map for Plug Power stacks. Please let me reiterate the importance of supply chain diversification at Plug Power. Ballard is an important supplier, but Plug Power is dedicated to its own stack development and it's immersed in our own air-cooled and liquid-cooled stack programs for our GenDrive product suites. The company remains on track for introducing our stacks based on ReliOn technology for the Class 3 GenDrive products. This has been met through work completed with leading membrane electrode assembly providers to develop a stack with superior performance that still allows for less physical area, enabling a lower cost. During the third quarter, the stack team has been aggressively pursuing integration into our products. We verified the product to customer sites, established manufacturing and developed an enhanced supply chain for the major components. Plug Power will be launching its first Class 3 GenDrive units with a Plug Power air-cooled stack in the fourth quarter of this year. The liquid-cooled stack is intended for our GenDrive Class 1 and 2 products. To date, the Plug Power and the HyPulsion stack development team have evaluated MEAs from key membrane suppliers, like 3M and others, and have selected a finalist to use in our own design. Additionally, simulations have been completed to determine plate active area and the size of the stack needed for our products. During this quarter, the stack design was tested in France and is currently being tested in Latham, New York, where we've seen favorable results. We remain on schedule to release this product in the fourth quarter of 2015. During the third quarter, Plug Power also worked on construction and deployment of GenFuel hydrogen infrastructure at several sites. This includes Kroger, Volkswagen and Walmart. The GenFuel infrastructure is quite comprehensive, covering installation of multiple components, beginning with an outdoor liquid hydrogen stacks and ending with indoor hydrogen fueling dispensers. With GenFuel, our customers can integrate this system with just one business partner, Plug Power, and make the process easy because the customers know we will bring in our professional installation specialists to manage the entire project from start to finish. It provides a huge benefit for our customers' GenDrive-based fuel cell programs because there is no need to disrupt operations as they achieve -- improve operational efficiencies and cost savings. In the coming weeks, we will see installation completion of the GenFuel system at Memphis Airport. This GenFuel infrastructure deployment includes a standard hydrogen storage tank, but most importantly, its -- Plug Power's first outdoor GenFuel hydrogen dispensers will be deployed. And this is for a fleet of 15 airport towers powered by Plug Power fuel cells. The outdoor dispenser varies a bit from the indoor because it provides all-weather protection on -- where at airports, there are harsh elements, such rain, snow, direct sunlight, which will be impacting our fueling station. This is an exciting project for Plug Power because it represents the first deployment of GenDrive units that have been specifically designed and developed by Plug Power to operate in outdoors environment -- outdoor environments to support ground support equipment. We expect that the upcoming trial at Memphis Airport will lead to expansion of Plug Power's products into the GSE market, that's the ground support equipment market. So we'll continue to keep everyone updated on our progress there. Last week, we also announced the signing of a long-term agreement with Praxair to supply the liquid hydrogen for our GenFuel customers. This agreement strengthens Plug Power's GenFuel hydrogen offering and helps our customers attain cost efficiency and environmental sustainability. Praxair is one of the largest industrial hydrogen companies and is the largest liquid producer in North America. In anticipation of its own growth, Praxair recently announced it was building a steam methane reformer at its liquid hydrogen plant in Niagara Falls, which, when completed in 2015, will increase Praxair liquid hydrogen production capacity by up to 50%. I'd like to discuss -- I'd like to transition to a discussion of third quarter's bookings for our GenDrive, GenFuel and GenCare product offerings. During the third quarter of 2014, Plug Power brought in $25.6 million in bookings from customers like Kroger, Walmart, Newark's Farmers Market, Mercedes-Benz, Coke and BMW. Additionally, during the quarter, Plug Power saw an increase in new customer interest. We hosted 8 new prospective customer tours through existing GenDrive customers' facilities as part of their evaluation process on new technology. And just to kind of divert a little, I think it is actually one of our main advantages. We take customers on site -- new potential customers on site, and the old customers sell our products for us. We've executed trials also with some of these customers that also stimulate interest in both the auto, retail and food sector. Throughout 2014, Plug has properly scaled its sales organization to support increased customer demand. We've tripled our sales force in North America, and they're hitting the ground running. Plug Power has seen sales success out of Spokane, Washington office with our stationary power fuel cell business. This occurred this week, where Plug Power has agreed to terms with a major U.S. provider for a multi-contract deal -- -year deal for Plug Power's ReliOn integrated fuel cell solutions and hydrogen services, with a potential value of more than -- over $20 million over the 5-year life of the program. And just recently, as many of you know, Plug Power has realigned our brands, defining ReliOn as Plug Power's stationary fuel cell system brand. Previously as mentioned, our gross margins for the quarter were slightly lower than anticipated. Product margins for GenDrive were 12% for the third quarter, maintaining the positive gross margin that was achieved in the second quarter. Product gross margins were expected to be in the mid-teens, and this, for the following reason: We had some additional part expediting in pre-course [ph], which were experienced as we launched our new Class 2 and 3 models. In addition, we had some challenges with implementation, and our cost-reduced injected molded parts required us temporarily to revert to higher-cost machine part. The continual production ramp resulted in higher labor cost, with the temporary labor expense and new employee trainings. We expect product gross margins to increase in the fourth quarter and throughout most -- throughout 2015 due to many of the cost reduction opportunities and process in plan for implementation. Throughout 2015, we expect those margins will expand by year's end to 25% gross margins. Service margins were stable and consistent with the prior quarter. During the quarter, we increased our investment in key areas of the service business to accelerate future margin improvement. These investments included dedicated personnel focused on improving high-power stack reliability. The primary reason, it really is the primary cost driver in our service business. The team is making an impact, with some reliability improvements currently in the initial field tests. In addition, we are making additional investment in fleet management tools to drive improved efficiency and cost reduction. We expect service margins to continue their positive trend. Field reliability is a key driver, and the business has achieved a 32% reduction in breakdowns from the third quarter of 2013 while maintaining overall freight time uptime of 97% or greater during the period. New Class 2 and Class 3 models launched in the first half of 2014 are demonstrating significant greater field reliability than prior generation products. Fleet composition is also changing rapidly as a result of our sales growth, and this will have a positive effect on field reliability and labor cost. Today, we have over 5,000 GenDrive units under GenCare service management. A percentage of new models, which represent our most reliable systems, is increasing due to sales growth, while older, early-generation, legacy models are beginning to retire as customers purchase new material handling equipment and refresh their GenDrive fleet. These legacy models represent less reliable systems, coupled with a high replacement part cost due to component and parts obsolescence. Increasing unit volume within a local geographical area also has a positive impact on labor cost, and we are seeing this as more and more sites are being clustered in area. We expect all of these factors to allow our service operating margins to be breakeven by the end of 2015. A successful launch of our GenKey product line continued in the third quarter with the delivery and start-up of an additional 3 turnkey sites. Through this launch process, we have found opportunities to optimize cost reduction and standardize our GenFuel hydrogen infrastructure offering as we go forward. We did encounter some cost overruns in the quarter. They're common when introducing a new product. These included costs, such as expediting fees to meet installation deadline, negotiate supplier discounts. It did not hit in the quarter as rapidly as we hoped, and some variability in local construction cost. We are in the process of really transitioning our GenDrive hydrogen fuel cell offering from a new design to a standard product. Though these items that we're working through are challenging, we have a clear road map to increase our revenue and enhance our gross margins during the coming quarters. We've repeatedly stated our hydrogen business presents a terrific opportunity to Plug Power to grow revenue and enhance gross margins. I think this is important for everyone to understand: in under 1 year, Plug Power has deployed GenFuel sites to 5 sites and are commissioning another 5 sites as we speak. We believe no other company in the world has successfully installed 10 sites in a single year, and these are sites that are used not by customers, like a futuristic hydrogen gas station. Success has been demonstrated in high-throughput facilities. Our customers are using 6 tons of hydrogen daily. During the quarter, Plug has taken some purposeful steps to retain the worldwide leader as this market develops. We remain disciplined and focused on our approach in order to come up with the right hydrogen solutions for the market. The first step of this evolution was to design and build our own large-scale hydrogen system infrastructure for manufacturing and distribution centers. This has been completed and proven at customer sites across North America. Constantly evolving design of our current infrastructure products will increase performance and reliability and will reduce cost and complexity, which will lead to a broad broader set of customers and circumstances where the product can be deployed. We also, as you know, developed a source of hydrogen gas with Praxair. We're evolving our road map for hydrogen, and we have a great deal of work going on, on infrastructure development to support smaller sites using more gaseous hydrogen, which will reduce the overall infrastructure cost and allow us to move in other areas. We've also -- as we've talked before, have had a great deal of focus on hydrogen distribution and working through methodologies in which we can use the hydrogen storage systems that we have in place at sites like Walmart and be able to distribute that hydrogen to stores and other smaller sites. And we also have been spending -- and I've not been hasty. We've been spending a great deal of time on hydrogen generation. We see hydrogen generation as both a margin as well as a revenue opportunity for Plug. Plug Power has looked at reformers with customers, looked at reformers we've been -- as we've discussed before, we have a number of discussions going on looking at the options of building a larger-scale hydrogen plant with an industrial player. The road maps and progress is focused on many different elements. Some items, we will do ourselves. Some, we'll do with partners, and other where we may be -- there may be a potential for acquisition. Making hydrogen simpler for customers is crucial for the future growth of the fuel cell industry. I'd now like to call -- turn the call over to Dave Waldek to provide our third quarter financial results.
David P. Waldek: Thank you, Andy, and good morning, everyone. Before I jump into the details of the third quarter numbers, I'll first provide a few financial highlights. Our cash balance at the end of September was $156.5 million. Additionally, right after the quarter ended, we received a $5 million customer payment, which had been expected to be received prior to the end of the quarter. As of September 30, our working capital was $177.6 million compared to our working capital at December 31, 2013, of $5 million. During the third quarter of 2014, we shipped out 857 GenDrive units compared to 155 units during the first quarter of 2014. As of September 30, our backlog was comprised of 2,534 unit orders with a value of $35.7 million. Those backlog numbers are GenDrive units only and don't include orders for service hydrogen infrastructure and hydrogen molecule delivery. Total product and service revenue for the quarter was $19.5 million compared to $4.2 million for the third quarter of 2013. Breaking out the revenue. Product revenue for the third quarter was $12.6 million with a gross margin of 12%, an improvement compared to product revenue of $2.5 million at a negative 54% gross margin for the third quarter of 2013. Service revenue for the third quarter was $6.9 million with a gross margin of negative 33% compared to a service revenue of $1.6 million at a negative 139% gross margin for the third quarter of 2013. Research and development contract revenue for the quarter was $371,000 compared to $461,000 during the third quarter of 2013. In our operating expense categories, selling, general and administrative expenses were $5 million for the quarter compared to $2.8 million in the third quarter of 2013. The increase in SG&A primarily relates to the acquisition of ReliOn, the expansion of our sales force, and additional $500,000 in noncash stock compensation cost. Research and development expense for the quarter was $1.6 million compared to $769,000 during the third quarter of 2013. The increase in R&D primarily relates to the acquisition of ReliOn and internal stack development costs. Included in the quarter was also a nonrecurring charge of $2.4 million related to litigation dating back to 2008 with Soroof Trading Development Company. Net loss for the third quarter of 2014 was $9.4 million or $0.06 per share on a basic and diluted basis. Excluding the $2.4 million litigation accrual, net loss for the third quarter of 2014 would have been $7 million or $0.04 a share. Net loss for the third quarter of 2013 was $15.9 million or $0.19 per share on a basic and diluted basis. The net loss for the third quarter of 2013 included an $8.2 million nonoperating charge related to the change in fair value of common stock warrants. Excluding this item, adjusted net loss for the third quarter of 2013 was $7.7 million or $0.09 per share. EBITDAS loss for the third quarter, including the $2.4 million legal accrual, was $8.4 million, and this compares to an EBITDAS loss of $6.4 million in the third quarter of 2013. Please reference the financial tables on the press release for a reconciliation of EBITDAS to operating loss and net loss to adjusted net loss. Weighted average shares outstanding for the quarter were 169.6 million on a basic and diluted basis. Net cash used in operating activities for the quarter was $11.1 million, and as I mentioned earlier, the company also received an anticipated $5 million customer payment in the days immediately following the end of the quarter. I'll now turn the call back over to Andy.
Andrew J. Marsh: Well, thank you. We would like to open the line for questions at the moment.
Operator: [Operator Instructions] Our first question comes from Matt Koranda with Roth Capital.
Matt Koranda - Roth Capital Partners, LLC, Research Division: So product revenues were $12.6 million for the quarter. Can you just remind us how much of that was for GenFuel infrastructure during the quarter? And were there any significant revenues from ReliOn during Q3?
Andrew J. Marsh: Yes. So Matt, I'll let Dave take that, but the hydrogen infrastructure, I believe, Dave, is in your service numbers at the moment, correct?
David P. Waldek: That's correct, yes.
Andrew J. Marsh: Okay. So Matt, that was primarily GenDrive units. There may have be $300,000 or $400,000 of ReliOn product revenue in that. I think what's interesting in ReliOn, we expected, when we purchased the company, that we would do about $4 million to $5 million with AT&T this year. And after AT&T's DirectTV sales, like, I think, many companies have experienced, we saw that revenue stream disappear. On the positive side, I think that today, we announced the deal that we were able to close, which will be $20 million over a 4- to 5-year period, which is a nice start for a North American company. We have a couple other items, which are growing. I never thought ReliOn to generate revenue for me, I bought it for fuel cell stacks, and we're beginning to see some revenue opportunity there.
Matt Koranda - Roth Capital Partners, LLC, Research Division: Okay. That's helpful. So what I back into here though is about a $15,000 per unit ASP during the quarter. Could you just talk about what was kind of driving the lower blended ASPs? I mean, typically, I think you guys are in the, what, $18,000 to $20,000 range. Can you just talk about what drove that?
Andrew J. Marsh: Yes. So if you go in -- I think, probably, 80% of our shipments, Matt, were to food distribution companies, and there, you have a much -- a greater number of Class 3 products, and I think that drove a good deal of that. So most of the units were to Kroger and most -- and the Walmart were large users this quarter, and that actually drove the higher numbers. I mean, kind of just to give you a feel, the 22 units we weren't able to count went to a manufacturing customer, and those 22 units had over $600 million (sic) [ $600,000 ] in revenue we had to take off the books.
Matt Koranda - Roth Capital Partners, LLC, Research Division: Okay, all right. That is helpful. So -- are you $6 million in revenue. Is that what you meant?
Andrew J. Marsh: No, $600,000 revenue for those 22.
Matt Koranda - Roth Capital Partners, LLC, Research Division: $600,000.
Andrew J. Marsh: Yes. I wish $6 million, Matt. But $600,000.
Matt Koranda - Roth Capital Partners, LLC, Research Division: Okay, all right. That's helpful. And then in terms of service gross margins, I know they're flat sequentially here, but what needs to happen operationally to get you to breakeven next year? And then I believe you said you were targeting, on the last call, about 15% to 20% service gross margins by the end of next year. Am I hearing correctly you said -- are you targeting breakeven now? Is that the another target for next year?
Andrew J. Marsh: So we're targeting operating income of 0 by the end of next year, Matt. And since the service business is fairly highly loaded up, there's very low overhead there. So I would think gross margins are more probably in the 10% region. Biggest problem we've had, Matt, is -- and I think I referred to it on the call, is that failures of high -- failures of liquid-cooled stacks. Some of those issues are Plug issues, quite honestly, and some of those issues are Ballard issues. And we've worked through many of the issues. I still see a few lingering problems, and I think that when we look at that -- look at the high-powered stacks, it's really the difference between a business that's stable and profitable next year early, versus now. It's a large percentage of our cost.
Matt Koranda - Roth Capital Partners, LLC, Research Division: Okay. That makes sense. And then speaking of...
Andrew J. Marsh: Let me say though, as I mentioned during the call, Ballard has been very helpful over the past month, 1.5 months, trying to get their hands around their portion of the issues.
Matt Koranda - Roth Capital Partners, LLC, Research Division: Okay. That's helpful. So maybe touching on that and just the diversification of supply chain because you talked about -- I mean, you talked about the integration of ReliOn during the prepared remarks, but longer term, what do you think we can anticipate as a reasonable mix between the Ballard stacks and maybe the ReliOn stacks? Maybe if you could touch on what the mix could be next year, in 2015, and then, longer term, what you anticipate the mix would be.
Andrew J. Marsh: I think so much of it depends on performance and cost. I -- if Ballard provides me the best overall solution, their percent and share of the market will be higher, and that's the message we've talked to them about. And so I think, probably next year, that I wouldn't be surprised if by year-end, up to half of the air-cooled stacks could be coming from Plug, could be greater, could be smaller. What I really want is supply diversification, better performance and lower cost, and we'll make those decisions quarterly as the products roll out. I also need choice, and the reason we've developed our own stack is that we need an alternative for all our components as the volumes grow and the business becomes stronger. And that was a large driver in our diversification efforts. On the liquid -- and on the liquid-cooled side, Matt, there will be very little Plug stacks, as I mentioned. It will be late third quarter, early fourth quarter before we're launching the liquid-cooled stack.
Operator: Our next question comes from Jeff Osborne with Cowen and Company.
Jeffrey D. Osborne - Cowen and Company, LLC, Research Division: I wanted -- I just wanted to -- I might have missed this, but are you reaffirming the $150 million in bookings that you talked about in the press release on October 10? I didn't hear you say that number today.
Andrew J. Marsh: I – Teal, why don't you pull the last slide up? Yes, I am, Matt -- yes, I am, Jeff.
Jeffrey D. Osborne - Cowen and Company, LLC, Research Division: Okay, perfect. I just wanted to double check there. And then can you talk about on the backlog that you reported, what the mix is of Class 3 versus 1 and 2 there? Is that still skewed heavily 70%, 80% towards the Class 3. I'm just trying to think about...
Andrew J. Marsh: Good question. I would say 2/3 Class 3, Jeff.
Jeffrey D. Osborne - Cowen and Company, LLC, Research Division: Okay. And then, obviously, you've had a pretty significant ramp in the headcount, on the sales side and a bit on the R&D side. I'm just trying to get a sense of kind of the cadence of OpEx in the fourth quarter, but more importantly, as we look out to 2015, are you still intending to hire quite a few more? Or has everybody been hired and now it's really around the execution of the new sales force?
Andrew J. Marsh: Yes. I think that's a good question. I think -- Jeff, I think domestically, I do not see a huge growth in any U.S.-based operations. So I think we're fairly set. There could be plus or -- could be plus $500,000 to $1 million in the States. We've built out the financial organization. We've built out the sales team. We -- the R&D team at -- the ReliOn R&D team we acquired, we're really pleased with. There is -- I think there are probably additional -- I think you'll see -- us talking now, we're going to have a January update call for year-end and for projections for next year. I think you'll see some expense growth in Newark.
Jeffrey D. Osborne - Cowen and Company, LLC, Research Division: A couple of million dollars seem reasonable there. I'm just trying to get a sense of what the magnitude...
Andrew J. Marsh: I think that's a good question. I think it could be in the $2 million to $3 million range. It depends how our -- it kind of depends how much control we take over HyPulsion in the coming year.
Jeffrey D. Osborne - Cowen and Company, LLC, Research Division: Understand. Last 2 questions from me is that I know in the call, Andy, we talked about your hydrogen strategy and the evolution there. It sounds like you've done a lot more work and obviously, the Praxair arrangement is a definite positive, but as you look at either acquiring or building out through partners, your own development efforts, I think in the last call, we talked about a kind of $20 million to $40 million expense to do that. Is that still -- as you've done more work, is that still a reasonable assessment of what the cost would be? Or have things trended a bit higher?
Andrew J. Marsh: I think that's a fairly -- that's a reasonable expense, Jeff.
Jeffrey D. Osborne - Cowen and Company, LLC, Research Division: Okay. The last question I had is...
Andrew J. Marsh: That's a -- just to be fair to you, Jeff. Look, we are spending a good deal of time more on hydrogen, and -- but as you can see, we've -- the steps we've taken to date have been more partner-oriented. I think -- and anything we do, especially in the hydrogen generation side, it will be with somebody who's an expert in the area who can help us.
Jeffrey D. Osborne - Cowen and Company, LLC, Research Division: Good to hear. The last question, Andy, I had was just on the $20 million multiyear deal with a North American company. I assume that's on the telecom services side, but can you just talk about the scope of that, when it would start and perhaps name the customer if you're allowed to?
Andrew J. Marsh: Well, Jeff, I would name the customer if I could. We're working through the press release. I think you may see us more on the utility side, and as you know, utilities have some sophisticated telecommunication networks associated with them.
Operator: [Operator Instructions] Our next question comes from Aditya Satghare with FBR Capital Markets.
Benjamin Tainter - FBR Capital Markets & Co., Research Division: This is actually Ben Tainter on for Aditya today. So I have a couple questions. First, I know that you said you reiterated your sort of bookings target for the year of $150 million, but how confident are you in being able to meet that bookings target? And then sort of -- and in line with that question, have you seen any changes in the customer base going forward into 2015?
Andrew J. Marsh: I think the answer is that the confidence levels were -- if you go back and look at the notes, where exactly where we said we felt we'd be on this call and -- we've booked more since. I think that from a customer take point of view, as we've increased the sales force -- and quite honestly, as the Walmart deals become more widely known, not only in the U.S. but globally, we've had a lot more activity. I think over the past 2 months alone, we've taken 8 customers who've asked us to take them to Walmart facilities, to BMW facilities, to VW facilities, who are actively engaged in discussions with us. So we're -- we see a great deal more customer interest. And I think next year, to be successful, we will need about 20% new customer take as far as the revenue numbers go, but overall, we are seeing a great deal more interest. I mean, I had a call from companies in places like Australia, China, Singapore, elsewhere that saw what Walmart were -- was doing, and even much of what's going on in Europe, that Walmart deal has actually generated a great deal of interest with many, many customers, who we had trouble getting them to open the door initially.
Benjamin Tainter - FBR Capital Markets & Co., Research Division: Okay. That's very helpful. And then sort of a follow-up. On the ReliOn product, I know you recently talked about ReliOn is going to be Plug Power's stationary product for the backup power and grid support market. Could you maybe elaborate if you're going to be applying a GenKey-type solution for that product and then sort of how you see that side of the business growing going forward?
Andrew J. Marsh: So I think what you -- what we did with the one customer was we actually partnered with a hydrogen distribution provider to provide a turnkey solution for those customers. So backup power, I mean, the big issue is how do you bring hydrogen to the sites, and we were able to construct a deal and develop a partnership to allow it -- the customer just to turn it all over to us, and we worked it with a partner. We had the assets to help deliver the products, and I think, that's the key. Be it backup power -- so quite honestly, there's other challenges in backup power. I've always been quite honest about that, but you've got -- it's a new fuel. It's a new logistic model. It's a new technology. You have to make it easy for customers to change, and we're trying to use the same philosophy in backup power.
Operator: Ladies and gentlemen, at this time, we would like to turn the floor back to Andy Marsh for closing comments.
Andrew J. Marsh: I'd like to thank everyone for joining the call today. We're going to book over $150 million in revenue this year, as I talked to Jeff about. We're going to a revenue of $70 million to $75 million, which is almost a threefold increase from last year, and I think when you listened to Dave talk about the operation improvement, product margins are positive. We're deploying hydrogen infrastructure. We're looking to become a powerhouse in supporting customers with hydrogen not only here in North America but around the world. And finally, I know it's important that we continue this dialogue and communication. I'm excited that Paul is joining us, and we've been building out a financial team for him and an organization he can take over running. He'll be on board before the 1st of December, and on mid-January, we want to have an update call with everyone who's on the line today to discuss not only our performance in 2014 but to go in much greater detail in 2015. So thank you once more for taking the time today and joining the call.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference. You may disconnect your lines at this time. Thank you, all, for your participation.